Thierry Garnier: So good morning, everyone. Thank you for joining us. I'm Thierry Garnier, CEO of Kingfisher. I'm here with our CFO, Bernard Bot. Also in the audience, we have our chair, Andy Cosslett. Welcome Andy. We are together this morning at the London Stock Exchange having been at Kingfisher for nearly 2 years now. This is our first in-person results presentation. So I'm very happy some of you are able to join us in the room today. For those of you who are joining virtually, I hope we'll get the opportunity to meet in-person soon. Before I start, I would like to thank all our teams for their continued efforts. Our colleagues have been through unprecedented challenges and remain as engaged and committed as ever. And for this, I'm extremely thankful to each and every one of them. Our presentation today will start with an update on our operation and strategic progress as well as a look ahead to market trends and our growth drivers. Bernard will then present our financial performance, capital allocation framework, and outlook before we open the meeting for Q&A. To the key messages on Slide 5 and we have had a very strong first half of the year driven by rapid progress against our strategic priorities. This is resulting in higher customer engagement and an improved competitive position in our key markets. We remain focused on managing efficiently the challenges faced by all retailers around supply, logistics, and cost inflation. During H1, we kept the situation under tight control, retaining good product availability at competitive prices and operating safely. We have addressed many of Kingfisher's historical issues with fixes now complete in the U.K. and Poland and on track in France. And our Powered by Kingfisher strategy is moving ahead at pace ahead of schedule. With our business in such a strong position and our industry benefiting from new longer-term trends, we are now ready to accelerate our investments in multiple areas of business, which have attractive longer-term growth opportunities. And finally, we are also in a position to return surplus capital to our shareholders with a £300 million to be returned via share buyback alongside an interim dividend of approximately £80 million. These attractive returns reflect our strong cash generation as well as our confidence in the outlook. On Slide 6, I'm pleased to report a strong financial performance for the period. In line with our financial priorities, we continue to prioritize top line growth with like-for-like sales in H1, up 22.8%, representing a 2-year growth of over 21%. This performance was supported by strong demand in all categories across retail and trade customers. Group e-commerce sales in H1 were over £1.3 billion, up by 216% versus 2019 with penetration maintained year-on-year at 19% of total sales compared to 7% in 2019. And we have had a good start of the second half of the year with resilient demand across all markets. Like-for-like sales for Q3 to date are up by 16.1% on a 2-year basis. Adjusted pretax profit increased 62% to £669 million, twice the level of 2019 and our free cash flow remained very strong, over 3x the level of 2019. Finally, alongside our share buyback, we have also announced an interim dividend of 3.80p, which is higher than both our notional interim dividend last year and the interim dividend of 2019. Turning now to Slide 7. Throughout the pandemic, our actions have centered around doing the right thing for our colleagues, customers and communities as well as protecting our business for the long term. We also accelerated many elements of our strategy and as a result, we are far stronger. However, like many other businesses, we have also had to deal with significant operational challenges in the last several months, which I'm pleased to say have been managed effectively in H1. These challenges included product supply and availability, shipping and logistics and cost price inflation, which I will now describe in more detail. Firstly, we have collaborated closely with suppliers and logistics providers, improved our forecasting processes and placed orders significantly ahead of peak trading periods. As a result, product availability has gradually improved during H1. Furthermore, the challenges around the cost and availability of shipping containers and HGV drivers have been well-managed to date. We'll continue to focus on rebuilding inventory levels in the second half ahead of next year's peak trading periods and an earlier Chinese New Year. As a result, we expect inventory levels to be higher year-on-year at the end of January. Despite the focus on supply and availability, we are also seeing a good improvement in inventory health and inventory turn, reflecting structural improvements in the supply chain and forecasting efficiency. We have not experienced any major issues around recruitment or colleague absence, and we continue to monitor this closely. On inflation, in line with the wider industry, we are seeing higher than normal cost price increases. However, the impact of this has been well-managed in H1. We expect inflationary pressures to persist through H2 as higher cost inventory is sold through, but as demonstrated in H1, we are committed to managing the cost implications effectively. Finally, we are maintaining our strong competitive price index assisted by better buying of products. Moving on to Slide 8 and we have made significant progress with fixing Kingfisher's historical issues. Our fixes for the U.K. and Poland are done and our range and supply and logistic changes in France are on track to complete within the next 12 months. More on that on the next slide. We have now finalized fundamental reorganizations of both our commercial and our technology and digital operating models, enabling agility and speed to market. We also completed the rollout of our SAP platform in all relevant banners, except Brico Depot, France, which is targeted for completion towards the end of next year. We have added significant talent this year to the key business areas of digital, technology and data, further reinforcing our e-commerce capability and technology-driven development plans. And new trading approaches have been implemented in all retail banners, enabling us to serve customers more efficiently while maintaining and improving our price positioning across the group. Focusing now on France on Slide 9. I'm happy to report that our repair actions are largely complete. We have a strong new leadership and teams in place. We have rebalanced our relationship between our 2 banners and Kingfisher Group. And at Castorama, we have addressed the SAP pain points from previous years and implemented a new group digital technology stack. E-commerce sales have grown by more than 4x at Castorama in 2 years. As we highlighted in March, the next step was to progress with repairing the ranges of both banners and optimizing the supply logistics network in France. Castorama's range is improving significantly with now more than 6,000 SKUs introduced since February 2020. The business has cut back on non-critical range reviews and is leveraging Kingfisher's OEB products to extend customer choice while also reintroducing popular local brands. At Brico Depot, we are moving ahead with plans to reduce SKU to focus on key discount products while also differentiating from Castorama and General DIY peers through our tailored OEB products. We are also progressing well with a fundamental reorganization of the logistics network in France. Work is ongoing to optimize the distribution center network and we have reduced space in distribution center by 13% in the last 12 months. Furthermore, we are creating a single cross-dock logistic network for both banners, cross dock, which is a way of moving product from a manufacturer to our stores with little or no storage in between. With this program, we plan over the next 12 months to significantly reduce the distance required to service our stores with shorter lead times, better customer service, lower levels of inventory, and a reduction of greenhouse gas emissions. And finally, our modernization phase is also moving at pace as well as the fast click and collect services introduced in 2020. Our e-commerce business in France is now supported by a new store hub model at Castorama, similar to that successfully implemented at B&Q last year. This hub model is allowing us to leverage store picking for faster home delivery around all stores, while in parallel, using some of our stores for wider coverage home delivery. Customer growth has been strong in France, especially online, and we are happy with strong levels of revenue retention of customer cohorts acquired in 2020. On services, we have strengthened and expanded our partnership with NeedHelp, Kingfisher's online services marketplace that connects trades people to customers who need home improvement help. And for the first time in France, we are testing rightsizing, along with compact store tests at Castorama. Brico Depot will also conduct its first compact store test in H1 next year. As a result of these actions, like-for-like sales and e-commerce sales are strong compared to 2019. Our competitive position in France has clearly improved and retail profit has more than doubled in the last 12 months. Our range repair and logistic optimization program will compete in the next 12 months, which will support profitable long-term growth in France. Slide 10 outlines our delivery against our strategic plans is ahead of schedule in many areas. On e-commerce, our priority is to deliver growth through providing speed, convenience and choice to our customers. In H1, we continue to focus on store-picked orders and last-mile delivery, more on this in the next slide. Our own exclusive brands or OEB continued to perform strongly, providing a strong source of differentiation for our retail banners in terms of design, functionality, sustainability and value for money as well as carrying a higher gross margin. I will review our strong OEB performance in more detail shortly. More than ever, mobile is at the center of retail. The new Screwfix app is an example of our innovation in this area with over 1 million downloads to date. We are also rolling out self-checkouts to over 100 B&Q stores before the end of the year and our mobile Scan & Go technology is now fully live in Brico Depot Iberia as well as being trialed in B&Q stores. We are enhancing showroom services with a new 3D design tool, which will be rolled out across the U.K. and Romania in H2. Customer engagement around installation services is also growing with a steady growth of the percentage of customers choosing kitchen and bathroom installations. Following successful trials, we are also rolling out our NeedHelp services marketplace in the U.K. and in Poland, leveraging Kingfisher's strong relationships with trade people. We are continuing to test compact stores and adapt our store footprint following encouraging results from our test last year. This year, we have opened 5 new compact stores at B&Q, along with our first test in Poland. Screwfix opened 20 new outlets in H1 in the U.K. and Ireland and is targeting over 70 by the end of the financial year. We're also planning more rightsizing tests at both B&Q and Castorama France, following a successful relaunch at B&Q Canterbury earlier this year. We are expanding B&Q two-layer partnership with Speedy Hire as well as our store-in-store partnership with ASDA. And we are on track to open the first 2 B&Q franchise stores in the Middle East in H2. The store and support office functions will be operated and staffed by the Al-Futtaim Group. We also continue to source and buy better while reducing costs and inventory days. We have multiple cost reduction programs in place, including store productivity, supply chain, technology and GNFR spend, lowering of energy costs and lease regearings, where we completed 10 B&Q lease renegotiations in H1 for a combined rent reduction of around 25%. We are in the process of renewing strategic partnerships with our top 15 international brands and are benefiting from improved inventory health driven by lower delisted and slow-moving stock. This has led to a big improvement in our net stock days, which are down by 15% year-on-year. Finally, we remain committed to making a positive impact on our colleagues, customers, communities and the planet. I will cover our progress against these 4 priorities shortly. During the period, we also arranged a new £550 million sustainability-linked revolving credit facility, which enables Kingfisher to benefit from a lower interest rate if we deliver on ambitious sustainability and community-based targets. Overall, our strategic actions are driving our strong trading as well as clear improvements in our competitive position, and there is a lot for us to be encouraged by. Turning now to Slide 11 and a closer look at e-commerce. This channel continues to transform and grow fast with e-commerce sales up 21% on last year and up by 216% versus the same period in 2019. Overall sales in this channel now represent almost 1/5 of group sales compared to 7% in 2019. This growth has been enabled by our move to a store-based picking and fulfillment model, with 90% of the group's online orders picked in-store in H1, both including and excluding Screwfix. 57 of our B&Q stores are currently being used as digital hubs for fulfilling home deliveries, serving nearly 100% of all U.K. postcodes. We have started to implement a similar model of Castorama France in H1, which now covers all stores. The same model is now in place in all stores in Poland. In the U.K., we are reorganizing our distribution and fulfillment capacity with 3 new sites opening within the next 6 to 12 months, which will allow faster store replenishment and expanded available range for home delivery and wider coverage of fulfilment. Click & Collect remains by far our most significant online fulfillment channel responsible for 73% of all e-commerce sales. We are now offering car park collections in France as well as contactless drive-through collection in both France and Poland and following a successful trial in Poland, up to 4,000 Click & Collect lockers will be rolled out nationally from H2. We have also trials of lockers at B&Q. But our most disruptive recent development is Screwfix's launch of its Sprint service offering delivery of orders direct to site within 1 hour. Sprint will be available in more than 30 cities across the U.K. by November, covering 1/3 of the U.K. postcodes with further rollout plan in 2022. This underlines Screwfix's focus on speed and convenience, building on its industry-leading 1 minute Click & Collect proposition. Lessons from this test are being shared with other retail banners that are also testing same-day delivery. And finally, we continue to review the best options to further expand product choice, including an e-commerce marketplace proposition. Moving on to Slide 12. This has been another successful period for our own exclusive brands, both in terms of development and performance. OEB sales were up 22.8% and by 24.6% versus 2019, outperforming non-OEB ranges. OEB penetration is stable at 46% of total sales, which is a good achievement considering the reintroduction of many branded products. The kitchen range change is one of the largest and most disruptive implementation for Kingfisher. So I'm pleased to report that our new OEB kitchen range has landed successfully in the U.K., in France, Poland and Romania without significant disruption. Our new range is supported by our market-leading price positioning, new installation services and innovative in-store and online design tools. Like-for-like sales of this range in H1 was double-digit for the group despite COVID-related restrictions in the first few months of the year. Our key focus with OEB is to cover more of our customer needs and to support our multiple banner formats becoming more differentiated. To date, 10 new own exclusive brands have been created with a further 18 own brands redeveloped. All are ready for implementation from H2. To illustrate the power of this differentiation, sales volumes of the new Titan pressure washer OEB range at Screwfix is already outperforming our sales volume of major branded competitors. In H1, we launched our new Magnusson ranges of building, plumbing and plastering and garden and tools range. Magnusson general and tools range is now the #1 hand tools brand across Kingfisher. Our GoodHome products continue to receive recognition across the industry with prestigious design awards received for many of our products. We also saw a successful launch in France of our new Atomia wardrobe and space management solutions. We are pleased with our progress with OEB, which is providing significant power to our banners in meeting customer needs as well as driving profitable sales growth. On to Slide 13 and an update on responsible business, taking each of our 4 priorities in turn. Our commitment to doing the right thing for our colleagues remains a key priority. We have continued to focus on serving our customers' needs as effectively as possible while protecting the safety of all, especially our colleagues on the frontline. We have also ensured the right mechanism are in place to listen and assure feedback. Following our annual engagement survey, I was happy to see a strong employee NPS score ranking within the top 10% of global retailers. In addition, over 9,000 colleagues recently became shareholders of Kingfisher through our all-colleague share plan, of which nearly 75% are store-based colleagues. Turning to our planet targets. In June, we announced that the Science Based Targets Initiative had now formally approved our new carbon reduction targets. These targets are consistent with the reductions needed to keep global warming to 1.5 degree, the most ambitious goal of the Paris climate agreement. We are now one of a small number of retailers worldwide to have such an improved commitment. And as part of our commitment to becoming forest positive by 2025, several projects have now commenced in some of the world's most at risk areas for deforestations. With regards to customers, last year, over 40% of group sales came from products that create greener, healthier homes. This year, we are accelerating our focus on sustainable home product development through our OEB ranges. We are also exploring ways in which we can support government initiatives around greener homes. Finally, on communities, we remain fully committed to helping improve homes and community spaces. We have now doubled our previous ambition by committing to help at least 2 million people who live in unfit housing, having already supported 800,000 people to date. All of this is set out in more detail in our latest Responsible Business report published in June. Turning now to Slide 14 and the COVID crisis has brought forward and established 4 new trends that we believe are supportive over the long term. Although we are seeing a continued return to the office, both workers and businesses have adapted to new ways of working, which will result in more working from home than before. With an estimated 50% of the developed world workforce being office workers, this trend will continue to drive a need to adapt homes and address incremental wear and tear. Our research shows that half of those working from home during the pandemic expect to do more DIY in the future. Over the last 18 months, we have also seen DIY activity increase significantly among 18 to 34-year olds. Our research from this age group shows that 64% of them believe they have improved their DIY skills, 71%, feel more confident with DIY and 75% enjoyed it. This age group is a very important development for the long-term growth of our industry. The impact of lockdowns continues to bring a huge increase in people's focus on the home and outdoor space. And therefore, for now, the pipeline of activity in the U.K. and French housing markets looks robust. Historically, house moves have created significant incremental demand for our industry in the 12 to 18 months following a move as new owners invest in kitchen, bathrooms and general DIY. And finally, the race to 0 is high on political agendas around the world. Housing is a significant contributor to climate change and in the U.K. and France, around 75% of houses are deemed energy inefficient. Around 9% of our total sales currently come from energy and water saving products. And so our foundation for growth in green renovation is solid backed up by our powerful OEB capabilities. Overall, with our strategic execution and this supportive market trends, we are excited about the growth opportunities that lie ahead. And this leads to Slide 15 with our business in a strong position, we are now ready to accelerate investments for growth in multiple areas of the business. We will be stepping up our digital investment with new initiatives around faster fulfillment and broader choice, including Screwfix's disruptive 1 hour delivery proposition. Screwfix has been a phenomenal growth story, delivering an exceptionally high-return on capital employed and the business is ready to move to the next stage of its journey. Following the enhancification of further opportunities in certain catchment areas, we now see a medium-term road map to over 1,000 stores in both the U.K. and Republic of Ireland versus the previous target of 900. Furthermore, as part of its broader international expansion plans, the business launched Screwfix as a pure-play online retailer in France in April 2021 and initial results are encouraging. Investment in expansion will now be accelerated and we expect to open Screwfix's first stores in France in 2022. In Poland, which has also exhibited strong growth in previous years with a high-return on capital, we have developed more ambition expansion plans to build on our #1 position in the market. We are on track to open 7 new stores in Poland by the end of this financial year and expect to open even more stores next year. And finally, TradePoint, which is 19% of B&Q sales, has a significant growth opportunity. TradePoint's relaunch in the U.K. is underway to be supported by a new website and a new loyalty experience for all trade customers. The business is also currently trialling small numbers of new store layouts. To summarize, we are making strong progress on our core strategic priorities with delivery ahead of schedule in many areas. This is allowing us to now accelerate investment to capitalize on several attractive growth opportunities. With my update now concluded, let me hand over to Bernard.
Bernard Bot: Thank you, Thierry. Good morning, everyone. On to Slide 17 and the key financials for the half and as you could see, the financial performance in the half was strong. Sales were up 22.2% to £7.1 billion, which is 22.8% on like-for-like and 21.3% on a 2-year basis. We generated gross profit of £2.7 billion, driven by strong sales growth and by 100 basis points increase in the gross margin. The increase was a result of range initiatives, supply and logistics efficiencies, effective management of inflation, and the disposal of our Russian business. Retail profit increased by 45.1% to £767 million with a retail profit margin up 170 basis points to 10.8%. Adjusted pretax profit increased by 61.6% to £669 million. Free cash flow was £723 million. The year-on-year reduction reflects, as expected, the reversal of large positive working capital movements in H1 of last year. Our strong cash position reduced net debt to £908 million, with net leverage at 0.5x the last 12 months EBITDA. Moving to Slide 18 and the performance of our major geographies. Starting with the U.K. and Ireland, where sales grew by 29.7%, including a 1.6% contribution from net space growth. Like-for-like sales at B&Q grew by 28.8% and 34% on a 2-year basis. TradePoint outperformed the rest of B&Q with like-for-like sales up 39%. Larger ticket categories like kitchens and bathrooms performed well despite showroom restrictions impacting the first 3 months of this year. Demand for outdoor products remained consistently strong. Like-for-like sales at Screwfix grew by 26.8% and by 25.4% on a 2-year basis, reflecting continued strong momentum, in particular, from trade customers. U.K. and Ireland's retail profit increased by 40.8% to £579 million. Retail profit margin increased 130 basis points to 16.2%. This was the result of an increase in gross margin and a better operating cost to sales ratio. Gross margin rate increased by 10 basis points, reflecting higher volume rebates earned and effective management of inflation. This was partly offset by category mix and at Screwfix, more promotions and somewhat higher supply and logistics costs. Operating costs increased by 23.9%, largely due to higher costs associated with strong trading, store openings and the impact of prior year non-recurring cost savings. These saves included business rates and furlough relief that we repaid in the second half of the year. In France, sales grew by 23.3%, including the negative impact from the closure of 8 Castorama stores in the prior year. Like-for-like sales grew by 24.4% and by 17.1% on a 2-year basis. COVID-related temporary store closures, mostly at Castorama, impacted like-for-like sales negatively by around 3%. Like-for-like sales also benefited from the gradual opening of more stores on Sundays. Retail profit more than doubled to £129 million with a 220 basis points increase in retail profit margin and a better operating cost ratio. The gross margin rate increased by 80 basis points, reflecting range initiatives, supply and logistics efficiencies and effective management of inflation. This was partly offset by more trading events and category mix. Operating cost increased by 18.3%. As in the U.K., this was mainly due to higher costs associated with strong trading and the impact of non-recurring cost savings in the prior year. Performance in Poland was impacted by temporary store closures for over 5 weeks in the first quarter. Like-for-like sales decreased by 5% and were down 1.7% on a 2-year basis. The store closures had a net impact of around 9% on like-for-like sales. Space growth contributed 4.4% to sales. Despite the like-for-like decline, gross profit increased year-on-year due to margin rate increasing by 70 basis points, largely from range initiatives and effective management of inflation. Retail profit in Poland decreased by 16.1% to £58 million. This was due to store closures and an increase in operating cost of 8.4%. Higher operating costs were driven by space growth and store opening costs in addition to operating cost inflation. In Iberia, like-for-like sales increased by 45.5% and by 13% on a 2-year basis. Retail profit of £11 million was £10 million higher year-on-year. Romania reduced its retail loss by 46% to £6 million, driven by strong trading and I'm pleased to note that Romania sales and retail loss include 1 extra month of results as we align the business to Kingfisher's reporting calendar. To Slide 19 and the movement in group retail profit. In constant currency, this was up £238 million or 45%. Like-for-like sales growth and the increase in gross margin rate contributed £521 million. Net space growth contributed a further £15 million, mainly driven by the permanent closure of 8 Castorama France stores last year and the disposal of our loss-making Russian business. We managed to contain inflation related operating cost increases to £24 million or 1.4%. Excluding operating costs related to the net space change and non-recurring net cost savings in the prior year, operating costs increased 9.3%. This is versus a 22.8% increase in like-for-like sales. Included in this are higher costs associated with increased sales levels, partially offset by cost savings in line with our focus on cost reduction. The next 3 bridge items relate to the reversal of COVID-related net cost savings in the prior year. Firstly, last year, saw £13 million of COVID-related supply and logistics costs, which did not recur this year. Conversely, last year, the U.K. and Republic of Ireland benefited from furlough and business rate relief totaling £67 million, which was subsequently repaid in H2. Finally, other non-recurring net cost savings in H1 last year totaled £89 million. This included discretionary savings such as marketing, advertising and travel as well as employment support programs in France and Iberia. These savings were partially offset by COVID-related costs such as PPE and additional bonuses to frontline store staff. Slide 20 highlights another period of strong cash generation for the group. We generated EBITDA of circa £1 billion in the period. The working capital inflow of £157 million is the result of a net £460 million increase in payables, partially offset by £303 million increase in inventory. The net increase in payable largely reflects the timing of inventory purchases and higher VAT creditors associated with strong sales. The increase in inventory is largely due to the ongoing rebuild of stock levels. As Thierry mentioned, we expect to continue to rebuild inventory levels in H2 ahead of peak seating periods and an earlier Chinese New Year. As a result, we expect inventory levels to be lower than the seasonal peak at the 31st of July, but higher year-on-year at the end of January. Free cash flow for the period was £723 million. The adjusting and other outflow of £102 million includes a £64 million payment to HMRC in relation to European Commission's state aid challenge. Together with many other corporates and the U.K. government, we are contesting this payment and it is recorded as a receivable. Dividends of £174 million were paid in relation to the full year 2021 interim and final dividends, resulting in an overall net cash movement in the period of £447 million. Moving to Slide 21 and our current liquidity and financial position. As of this 31st of July, we had over £2 billion of total liquidity available, including over £1.5 billion in cash and an undrawn credit facility of £550 million. The new credit facility expires in May 2024 and is linked to sustainability and community-based targets. Our financial debt was £105 million as of July 31. Included in this is a EUR50 million fixed-term loan, which will be repaid in full this month. Net leverage was 0.5x EBITDA at the end of the first half. In the second half, we expect net leverage to move up as working capital normalizes. We increased CapEx in line with our original guidance, pay our interim dividend and commence our share buyback program. Slide 22 provides an overview of the group's capital allocation framework. Our primary focus, as you would expect, is to invest in compelling organic or inorganic growth opportunities that strengthen and accelerate our strategy. Our target growth CapEx remains unchanged at 3% to 3.5% of sales per year on average. The growth initiatives that Thierry highlighted earlier may result in us being at the top end of that range or slightly higher as investments in these opportunities accelerate over the next 2 years. To ensure a solid investment-grade credit rating, our medium-term target is circa 2x net debt to EBITDA. We also aim to maintain sufficient liquidity and have currently set our headroom at £1 billion. Our headroom includes our committed credit facilities and cash. In March 2021, the Board announced a new dividend policy with a target ordinary dividend cover range of 2.25x to 2.75x based on adjusted basic earnings per share. The aim is for sustainable growth of the ordinary dividend over time. Therefore, we anticipate our dividend cover maybe a little bit above 2.75x in this financial year. If after considerations of these objectives, there remains surplus capital, the Board will evaluate returning this to shareholders in addition to the ordinary dividend. Applying this framework, in addition to the interim dividend of circa £80 million, we are pleased to announce the return of our £300 million share buyback program. This program will commence soon. Finally, moving to Slide 23 and our outlook and guidance for the full year. Further technical guidance can be found in the appendix on Slide 30. These expectations assume there is no adverse change in COVID-related confinement measures. Looking at the second half, we have made a good start with resilient demand across all markets. Like-for-like sales for Q3 to date are down 0.6%, but up 16.1% on a 2-year basis. As a result, we have increased our sales expectations for the second half, although we expect to see a progressive reduction of 2-year growth rates in H2. Our planning scenarios for H2 show a like-for-like range of minus 7% to minus 3%, which was previously minus 15% to minus 5%. On a 2-year basis, this equates to like-for-likes of plus 9% to plus 13%. Applying these like-for-like scenarios, we now anticipate full year adjusted PBT to be in the range of £910 million to £950 million. With the delivery of our strategic priorities ahead of schedule and the very supportive long-term trends in our industry, we're confident of continued outperformance of our wider markets. With that, let me now hand back to Thierry to summarize.
Thierry Garnier: Thank you, Bernard. To summarize, we have delivered a strong financial performance in the first half of the year. Q3 has started well and we are raising our sales expectation for H2. We have managed efficiently the operational issues widely faced by our industry, retaining good product availability at competitive prices and operating safely. We are making rapid progress in fixing historic issues and we are delivering ahead of plan on the strategic priorities we set out 15 months ago. This strategic progress is enabling us to outperform in our key markets. We are also benefiting from several new trends, which we believe will support future growth of our industry. Finally, we are now ready to accelerate investment in several areas of the business in order to deliver further long-term growth. And we announced today a £300 million share buyback, reflecting our strong cash generation as well as our confidence in the outlook. Thank you all for listening to us this morning and Bernard and I would now be happy to answer any questions. Over to you, Maj.
A - Majid Nazir: Thank you very much, Thierry and Bernard. Right, we're now going to move to the Q&A from the floor, first of all. So please wait patiently for the mics to come over to you and then state your name and institution. We're going to start with Warwick.
Warwick Okines: I've got two questions, please. Firstly, could you give us some more detail on future cost efficiencies that are available in France, perhaps how much more supply chain space is there to take out and headquarter efficiencies? And secondly, you said that in the first half, you mitigated cost inflation effectively. What sort of inflation are you seeing at the moment? And could you give us some examples of some mitigation?
Thierry Garnier: Yes. Thank you, Warwick. So to start with the logistics in France. We started 2 years ago with two different networks, one totally for Castor, the other for Brico and with a lot of external spaces, additional spaces. So we have a very clear program, first of all, with better forecasting, managing our logistics efficiency. We have already reduced by 13% our square meter and we consider there are clearly further job to do in the coming 12 months. And as I said, we consider the coming 12 months this should be fixed and done. We consider as well for part of the business that we call cross-docking. Cross-docking is when you have a floor of merchandise directly from supplier to your DC that -- those pellets are directly -- are redirected directly to store with no stocking in the DC. So that's a very efficient way of working and we can combine Castor and Brico together on this field.  So clearly, we are confident on logistics by good practices, combining sometime the network of the two banners, we have efficiency to notice in the coming 12 months. On inflation, when your retailer inflation is probably part of your life. We are organized for it. First of all, remind you, we consider ourselves as a mass market retailer, even though a discount retailer in some field. Therefore, price index is our number one priority and I'm happy to say that today, all across the group, especially in tech, B&Q and Screwfix, that's really all across our different markets. We have a very good price index versus peers. We are looking at that more or less on a weekly basis. We have as well 8 sourcing offices around the world. So very early on, we can fill the trends talking to suppliers. We have decided early end of 2020 and early 2021 to adjust our forecast to plan for growth for 2021. Very early this year, we have decided to buy additional containers and therefore, even though we have slightly lower availability of product than a normal year, we have a better availability in July than we had in general.
Bernard Bot: And maybe Warwick, if I can add some of the other initiatives that we have in France. As you can imagine, we've got a company-wide program that France is very much part of that. Supply chain is one of the elements we've been touching, but there are many more. So just to mention a few. We're trialing SCOs in France, also in some other entities, that should be out self-checkouts and carry -- so that will be a good initiative in terms of productivity. With an improved supply chain also comes better logistics and better stock health. So we've seen quite a good movement in terms of the overall smart provisions, but also in some areas like shrinkage. GNFR always is a constant and for example, we did a point-of-sale tender in France, which had some very good results. And overall, here such as IT and telecom, again, we tendered and bringing through benefit. So it's always difficult to pinpoint any one point, but there's quite a raft of initiatives that we're working on that are delivering benefits.
Majid Nazir: Okay, let's go to Adam, please.
Adam Vettese: Three questions, if I may. Firstly, you talked about younger customers. Can you just give us some examples of what you're doing to engage with the younger customers who might be looking at DIY more than they were? And from your in-store data, you talked about surveys of younger customers. Is your credit card data showing the same thing that younger customers are continuing to buy more products? Secondly, you didn't really talk much about market share. It's a great performance. Was there market share gains across the different territories? And then thirdly, given what you know now, do you see there's any fundamental reason for a difference in EBIT margin between France and the U.K.?
Thierry Garnier: Thank you, Adam. Maybe I'll start with the first 2 questions and leave it to Bernard, the third one. Yes, we are working now to engage more proactively with this younger generation. I think it's a lot around learning new skills. They are really keen to learn new skills. So online with more diverse social medias, we are now proactively bringing new sales to them, and that's a key priority as well for the coming months and years. We are running -- we have a lot of data. We have a high online participation. We have loyalty cards. We can use some credit card data and we are well running regular surveys. So all that show that we have a high retention so far from the customer we acquired in 2020. Again, I'm not dreaming to keep 100% of them, but we are pretty happy with the retention.  On market share, to comment on, first on the U.K., there is no formal, I would say, a market share standard for the U.K., but when we look BRC, like GSK, we have Barclays card data and obviously, we have the report of our competitor. When you look at B&Q and Screwfix, they are clearly outperforming the market including the past months and we are happy with that. And I would say it's true for our DIY customer and the trade. France, we are looking at Banque de France data, like probably many of you and again, for H1, we are very happy with the competitive position and even if you look at the month of August, I think we are outperforming the market in August, both on a 1 year and a 2-year basis. So very -- I would say, very, very happy with the improvement on market share.
Bernard Bot: Yes and on France, I mean, the trick, as you see, is really getting your operating leverage right and you see with increased sales, things were a lot better. So we had a ROP of 5.3%, up 220 basis points and that's what we're going to focus on. I think it's been our mantra since the beginning. The key is to increase sales to get that productivity on your base. So we'll continue on that trend, sometimes investing in gross margin where it's needed. Having the cost initiatives I just mentioned, but first and foremost, having that operating leverage that we need in the French business. So there's more headroom to go, but we're not guiding on any specific number.
Majid Nazir: Well, thanks very much, let's go to Richard.
Unidentified Analyst: Could I ask a couple on Poland, just to sort of switch tack a little bit. What is your sort of thoughts around sort of long-term store footprint now for Casto in Poland and I guess some Screwfix plans as well. And then also on Poland, what sort of underlying OpEx inflation are you guys seeing at the moment, excluding the impact of new space and so on?
Thierry Garnier: Yes. Thank you. Thank you, Richard. So I'll start with the store footprint. Maybe Bernard, you comment on the cost topic. We are number one in the market and recent survey on brand awareness, on NPS, sales down CTO show that we keep our very strong position. I said in previous call that we have been probably a bit shy for a few years on our expansion plans. Last year, we opened 3 stores. Now the plan is to open 7 this year. We feel we will be able to open more next year. In Poland, I would not really qualify the store as big boxes. The average size is around 7,000 square meters to 8,000 square meters. We feel it's the right size. We believe that we still have probably 2, 3 years of additional expansion on this kind of store, 7,000 square meters to 8,000 square meters, but it will go to an end. And therefore, we have opportunities in more, what we call medium box, around 4,000 square meters and we started to open more medium box in Poland this year, and that the plan for the coming years because you have a lot of smaller cities, the market is not saturated and then as in the other part of the group, we want to be able to operate compact stores, so more around 1,000 square meters and that's more for urban environment. So we feel really [indiscernible] with great profit, great return on capital.  We really have opportunities ahead of us. On trade, first of all, polyester, about 25% of sales are already trade, which is very good, but we really believe there is further opportunities on trade starting with our big boxes and now we can deal with the trade inside the big box in Poland. I must say that across the group, we consider trade as an opportunity. We know that our American peers are performing better than us, we can learn and we feel TradePoint in the U.K. but across the group, there are opportunities for us on training.
Bernard Bot: Yes and on inflation, you're right, Poland is higher inflation than the U.K. and France, but it also has been and continues to be that, obviously, that is reflected then in the wider market in terms of the pricing and the positioning that happens there.
Majid Nazir: Let's go to Simon.
Unidentified Analyst: Three for you. Can you just talk a little bit about what you've seen from Screwfix in France so far in the -- whatever it is, 5 months, it's been open. Can you just talk a little bit about the cost and the accounting of the 9,000 people who you've issued those shares to as to how that kind of flows through the OpEx during the first half and just how far out do you feel confident around demand in your trade surveys and things? I mean, are we talking kind of confidence through to year-end or beyond that into the spring?
Thierry Garnier: Yes. Thank you, Simon. So I start with Screwfix. We have started in April pure online proposition, really starting to understand the market. And today, I can report that, let's say, every week, we see growth. One of the 2 key areas of -- several key areas of where that we keep increasing our ranges. So we are, every month, increasing the number of products. We are increasing our search. At the beginning, we did not really push a search for this kind of advertising. So we are now increasing our -- gradually our advertising and improving our IT -- let's say IT operations.  So we see growth in number of customers in values. One of the key things is we're happy to see these are really French people. It's not only British people living in France, that could be a critical point. So that's really trades people in France that are buying with us. So overall, really good progress. Clearly, there is a lot ahead of us. That's really according to plan. Maybe a few words on demand. With Screwfix we are -- start with Screwfix, we are running weekly surveys. And we're asking the same question moles every week to trade. Are you busy? Are you busy 2 months, how do you see 5 months, et cetera. And we see today trade people being very busy in our survey. So at least for the coming couple of months in the trade in the U.K., we feel we are pretty confident. When you -- another indication is if you want to install a kitchen today, you may have to wait a few weeks because difficult to find fitters and so that show the tension in the market. So on this field, we are confident.  Then on DIY, you saw the quarter-to-date at plus 16.1% up to now. Again, it's very strong. We do believe -- I will not say anything in the short term. You saw our guidance for the second half. It's very strong guidance in our views. Then it's more the medium term. We believe that the trend I mentioned, more working for home. I think everybody in this room probably is convinced that we'll have more working from home. We are happy to have retained a good part of the new customer we acquired last year. We see the housing market and we as well are working on our side on what is green renovation. That's another area for the medium term and we believe it's supportive for us. So again, in the medium term, we are pretty -- feel that there are supporting trends. Maybe Bernard to...
Bernard Bot: You don't want to answer the accounting question?
Thierry Garnier: No.
Bernard Bot: I'll cover it. So the accounting is on an accruals basis. Basically, the program started in November last year. It will vest in July of 2022. So it's based on the month by month nature. It's absorbed by the banners, and let's say, it's not a humungous amount if you spread it out over all of the months.
Majid Nazir: We're going to go to Pam. So just give it a second.
Pam Liu: It's Pam from Morgan Stanley. I have 3 questions please. #1 is about margins, and I'll be asking both near-term margin and medium to long term. In the short term, I know you mentioned the need to balance between the sort of maintaining the competitive pricing for house promotion and also with higher cost. But my question is, given the demand is very strong, particularly in the U.K. and France with the building activities, how you pushed quite a lot of that through? And what do you think that the market is doing? In terms of medium-term or long term, you talk about new only exclusive brand ranges, which obviously is good for margin. You talk about e-commerce, which again, should be good for margin, too. So can you give us some guidance on where do you see these new initiatives penetration would be in 3 or 5 years' time, therefore, what is the margin implication? #2 question is full up from the Screwfix front, so how many more stores are you plan to open? What are the start-up costs are you expecting? And any commentary you could give in comparison with 2 stations development in France. #3 is Poland very shortly. I know that you intend to open more physical stores. A question here is we also know that in Poland, online is doing really well in -- particularly with the likes of Allegro and Amazon. So can you talk to us about, again, your strategy in Poland and why physical store is so important for you?
Thierry Garnier: Yes. Thank you, Pam. Great question. I will try to answer fast and together with Bernard. So just on price, on prices, inflation and on margin, I will let Bernard comment further. Again, to be honest, inflation is part of retailer life. That's a big #1 and topic #2 is we consider ourselves as a discounter. So first priority is price index. Then you know you have your pricing routine. It's high on our agenda. Personally, I have that on my desk every week for the group. So we know where we are, but starting with price index. And because we have -- when you are in China, in Vietnam, in Central Europe, very early on, you have the small signal on inflation, so you are able to manage it, to talk to suppliers, to buy. Again, therefore, you see our set of results for H1 with a good gross margin and at the same time, to give you another anecdote, I think we have had which survey in the U.K., B&Q is #1 for price.
Bernard Bot: On the margin, short-term and long term, I mean, in the short term, if you look at the first half, that was exceptional. We're up 100 basis points for pricing and some benefits in supply and logistics, the Russia margin, which was diluted is out. So if we then look at what's going to happen in H2, we think we're going to do a little bit more promo also in support of sales and they're here and there some investments we want to do in areas like logistics, which may depress the margin. I think for the year as a whole, we would be looking to be slightly ahead of the prior year. Then in the longer term, it's always the puts and takes under the banner of we want to push the like-for-like sales. So OEB and increase in OEB share will help. We're also are actively negotiating with our key international suppliers to make sure we get the best prices there, supply and logistics, which is constant and trying to be more efficient. That's all on the plus side. Then on the other side, we want to continue to trade and do promotions. So it's puts and takes. We're not guiding to a specific area because ultimately, we look at the absolute margin that we generate in the combination of the margin rate and the like-for-like sales we generate.
Thierry Garnier: And on Screwfix in France, first of all, to follow-up on the question of Simon, we are confident now that the store should be a success in France. We have learned from Ireland. We have as well studied our peers in France that you mentioned, and we consider it's interesting and learning from those areas, we consider it will be the right time for us to open stores in 2022. For Screwfix, what is critical when you start to operate stores, is to have a distribution center and not to spread your store across a large geography. So you can expect us to have some kind of distribution center to start in some of the region. You can guess, I will not tell you more because it's not only for you, but as well our competitors in France.  So I would not tell you more around regions, timing, number of stores because I think it's too early stages. Poland, you're right that it's a great country for online. So what we did already in the past months first is to have more store hubs. So now because of the geography of Poland, every store is a hub and delivering an area around stores and the lowest to operate faster, to have faster delivery. We are operating in 1 hour Click & Collect in Poland. Poland is a country that is very special because it rely a lot on lockers. And it's one of the European countries where the number of lockers is most developed. It's really a habit. We did already test last year on lockers and we were happy. So we are currently rolling out 4,000 lockers in Poland.  At last, we have decided to invest more on technology. We have inside the group technology stack called NextGen, it's a standard stack. It has been rolled out in France in the U.K., and we are currently rolling out NextGen in Poland, and we are expecting NextGen to be ready between Q1 and Q2 2022. Then there is another area that is the same for the group that I just mentioned. We continue to explore what could be a marketplace for us. We have not made any decision, but we consider an important question and we continue to look at it. And it is a key question for all our markets, including in Poland.
Bernard Bot: Just to give you one stat on Poland. The online penetration is about 7%, and that's 3.5x what it was two years ago. So great progress, but obviously, more to go.
Majid Nazir: I think we've got a last question from the floor.
Unidentified Analyst: Yes, sorry, just to develop on your last comment on marketplaces. I mean, you've already got obviously the services marketplace, but do you see any particular product areas where a marketplace would benefit Kingfisher and where you maybe feel you're not as competitive as you might be just even with your OEM and other things on where the marketplace would really help?
Thierry Garnier: Yes, our general strategy on online is around speed and choice. So speed, you see where we are, with more Click & Collect, more last-mile delivery and just a few second comment on Screwfix, I think we are probably the only non-food retailer in the world that is able to deliver home in 1 hour. And to be honest, in the test we are doing, we are even able probably to do a bit better than that in many, many cases. So that's very impressive what Screwfix is doing on speed. Then on choice, again, it's -- the decision has been made and we are looking at that, but on products, when you have such large brands and traffic, well, you could consider if it could bring value to you to enlarge the choices on some categories. So we feel DIY could be, let's say, categories we could look at overall, but we are still thinking about it. No decision has been made. It's very early stages.
Majid Nazir: Okay, with no more questions from the floor. I'm going to open up the call, the lines for any of the analysts dialing in.
Operator: [Operator Instructions]. Then the first question is from Anne Critchlow from Societe Generale.
Anne Critchlow: My question is about the installation services and how that's helping to drive conversion, what you've seen so far? And how excited are you about installation as a sales driver for the future? And could you talk about any challenges you have on, say, monitoring quality and ensuring quality, et cetera?
Thierry Garnier: Yes. Thank you, Anne. It's a great question. I think, first of all, on the business, we clearly see today at B&Q after having relaunched our installation services for kitchen that, first of all, you are able to sell more. You have extended ranges, expanded categories, you could sell when you are talking to a customer on kitchen. Another technical thing we discovered, for example, is that if a customer want a credit, if he's able to have altogether, the cost of the installation, the cost of your kitchen in the credit proposition, it helps. So all that are critical things to develop the basket. And overall, we are very happy with the basket, with the profit, with all the program of B&Q. On quality, it's very much a question of model and execution. In the past, we had own colleagues during installation and managed centrally. So in fact, we did exactly the opposite. We are using third party and it's managed locally.  And therefore, you have a small number of fitters or trade people managed by a store team, creating strong relationship and today, we are very, very happy with the result. There is no -- I don't see emerging issues of quality on delays and services. I think we found a very good model. Maybe just one comment on services if I'm on the mic as well, I think it's an area that is critical for us. We're speaking about installation. We have new design tool. We are investing on new virtual design tool, better technology. You saw as well that B&Q is trialing tool hire. We are as well the same kind of test in France. We are renting trucks, renting events. So there are large series of services that could be add up to our product proposition. It's important for us.
Operator: [Operator Instructions]. Okay. There isn't any further questions from the telephone. I will hand back now to Mr. Majid Nazir. Please go ahead.
Majid Nazir: Can I just check for any final questions from the floor here. Paul. Sorry, just wait 1 second Paul.
Paul Rossington: Paul Rossington, HSBC. Just you talked about a robust housing market outlook. But if you look at the lead indicator stats for U.K. or France, they are volatile at best. There's reasons for that, obviously, in the U.K., but they do appear to have dropped off more recently. I know you talked about having a 12 to 18-month benefit of the housing market transaction activity going forward, but how are you looking at housing volumes in the various markets where you operate? If there were to be a more sustained drop-off in housing market activity, what would be your I guess strategic response to that?
Thierry Garnier: Let me start and for the data, Bernard will give you a few additional data. I think, first of all, what we see from our customer survey poll is that large number of people after COVID, and you know that from many survey, they want larger spaces and they are looking for outdoor spaces and we strongly see through our survey that across Europe, it's a trend and we do believe it will stay with us for a while. The second thing we learned from service, clearly, when you move, while you are a super good customer for our businesses, you want probably your kitchen, your bathroom or you have general DIY jobs to do. So it's a period of time when you see clearly a peak in the spending. So then on the data in the short-term versus medium term, I leave it to Bernard.
Bernard Bot: I'll give you the numbers, but you're right, I mean, they're a little bit backward looking, but if you look at the last 12 months in Q2, 1,000 transactions, the U.K. was still up 25%. I think if I look at Q1 in France, it was up 7%. So it's still very strong. The other element is prices are up and typically, what we see, if you've got more value in your home, you also take better care of it. So I think those will continue. If you see drop off, if we look at far back in history that if there's a little bit less transaction, the spend does move to more sort of some of the improvements, more of the repair, the upkeep, even if there are less transactions spend on DIY, people do spend then a little bit more on just keeping it up.
Majid Nazir: Just final check for any questions. Excellent. I think that's covered. Let me now pass back to Thierry for some concluding remarks.
Thierry Garnier: Thank you, Maj. So, simply very happy to see all of you finally in the room and some time to see new faces. Again, we are happy with this set of results. You see the business is in a good place and therefore, clearly, for us, is continuing to invest for growth, find new growth opportunities that will ultimately deliver better profit. So very happy to be with you today and happy to keep in touch in the coming days and weeks. Thank you, everyone. Thank you, Maj.